Operator: Good day, and thank you for standing by. Welcome to the Q4 2022 Unitil Earnings Conference Call. At this time all participants’ are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Todd Diggins, Director of Finance. Please go ahead, sir.
Todd Diggins: Good morning, and thank you for joining us to discuss Unitil Corporation's fiscal year 2022 financial results. Speaking on the call today will be Tom Meissner, Chairman, President and Chief Executive Officer; and Bob Hevert, Senior Vice President, Chief Financial Officer and Treasurer. Also with us today is Dan Hurstak, Controller and Chief Accounting Officer. We will discuss financial and other information on this call. As we mentioned in the press release announcing today's call, we have posted information, including a presentation to the Investors section of our website at unitil.com. We will refer to that information during this call. Moving to slide two, the comments made today about future operating results or events are forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements inherently involve risks and uncertainties that can cause actual results to differ materially from those predicted. Statements made on this call should be considered together with cautionary statements and other information contained in our most recent annual report on Form 10-K and other documents we have filed with or furnished to the Securities and Exchange Commission. Forward-looking statements speak only as of today, and we assume no obligation to update them. This presentation contains non-GAAP financial measures. The company's supplemental information more fully describes these non-GAAP financial measures and includes a reconciliation to the nearest GAAP financial measures. The company believes these non-GAAP financial measures are useful in evaluating its performance. With that, I will now turn the call over to Chairman, President and CEO, Tom Meissner.
Tom Meissner: Great. Thanks, Todd. Good morning, everyone, and thanks for being with us today. I am going to begin on Slide 4 where today we announced another strong year of financial results, with net income of $41.4 million or $2.59 per share. This represents an increase of $0.24 per share or 10.2% over 2021, driven by higher adjusted growth margins achieved through customer growth in execution of our regulatory agenda. Looking forward, we reaffirm our long-term guidance of 5% to 7% growth in earnings per share, with operating efficiency, cost control and disciplined investment, continuing to be our focus. From a business and financial perspective, 2021 or '22 certainly had its challenges. Ultimately, we were able to overcome these challenges and finish the year strong. We successfully wrapped up two rate cases and now have a majority of our customers under decoupled rates. S&P improved our credit outlook to stable and now rates our business risk is excellent and we secured additional liquidity through our credit facility. Bob will provide a refresh on our investment plan later in the call, but I'd like to highlight the robust investment opportunities that remain before us and reaffirm our expectation for long-term rate base growth in the range of 6.5% to 8.5%. Turning now to slide five; our customer and employee satisfaction ratings remain among the best in the industry and we have been recognized as one of New Hampshire's most desirable places to work. These ratings reflect our tireless commitment to our customers and employees and are also closely aligned with how we approach sustainability. Sustainability is fundamental to our strategy and it's clear that managing clean, reliable and efficient energy systems is something that our employees are proud of and our customers greatly appreciate. Moving on to Slide six, I'd like to quickly touch on some additional operation metrics that helped make 2022 an impressive year. Beginning with the powerful winter storm that swept through the Northeast and late December, also known as Winter Storm Elliot, our team showed tremendous dedication in restoring service to over 99% of affected customers within 48 hours. This was truly a herculean effort under challenging circumstances and our customers greatly appreciated it. I'm proud of the outstanding performance by all of our employees and their dedication to our customers. 2022 was also a record year for both electric reliability and gas emergency response. Our electric system safety of 67 minutes placed us well within the top quartile of the industry for electric reliability. Likewise, our average response time of less than 19 minutes placed us among the industry leaders for gas emergency response. Unitil is known for exceptional service and dedication to safety and reliability and this year did not disappoint. Moving now to Slide seven, as discussed last quarter, we filed a request for a public interest determination for a utility scale solar project in the State of New Hampshire. The procedural schedule has been set and significant progress is being made. This facility is expected to provide economic benefits for our customers for many years and we look forward to working with stakeholders in the coming months. An order is expected in early May and if approved construction will begin shortly thereafter. With that, I'll now pass it over to Bob who will provide greater detail on the quarterly and year-to-date results.
Bob Hevert: Thank you Tom, and good afternoon everyone. I will start on Slide eight. As Tom mentioned, today, we announced fiscal year 2022 net income of $41.4 million or $2.59 a share. Net income increased $5.3 million or $0.24 per share compared to fiscal year 2021. Earnings growth was supported by higher distribution rates including recoupment associated with the New Hampshire rate cases, partially offset by higher operating expenses. Turning now to Slide nine; for the 12 months ended December 31, electric adjusted gross margin was $98.8 million, an increase of $1.4 million or 1.4% compared to fiscal year 2021. The increase in electric margin reflects higher distribution rates and customer growth. You may recall that the decoupling structures approved in our recent New Hampshire rate cases allow us to retain revenue associated with customer growth. Effectively, all electric revenue is now under decoupled rates, removing variability from weather and changing usage patterns. Moving to gas operations, for the 12 months ended December 31, 2022, gas adjusted gross margin was $143.9 million, an increase of $10.8 million or 8.1% compared to the same period of 2021. The increase in gas margin reflects higher distribution rates, customer growth and colder winter weather. We added 855 gas customers compared to the same period of the prior year and in Maine our only non-decoupled service area, weather normalized unit sales were essentially unchanged year-over-year. Moving on to Slide 10, we provide an earnings bridge comparing fiscal year 2022 to 2021. As noted earlier, fiscal year 2022, adjusted gross margin increased to combined $12.2 million primarily as a result of higher distribution rates, customer growth and colder winter weather. Operating and maintenance expenses increased $5 million largely due to higher labor costs, professional fees and utility operating costs. Depreciation and amortization increased by $3.1 million reflecting higher levels of utility plant and service and higher amortization of rate case costs. Taxes other than income taxes increased by $1.4 million, reflecting higher payroll taxes and local property taxes on higher utility plant and service. Interest expense increased $0.1 million due to lower interest on long-term debt and higher interest on regulatory assets partially offsets by higher interest on short-term borrowings. Other expenses decreased by $2.2 million largely due to lower retirement benefit costs. Lastly, income taxes decreased $0.3 million reflecting lower taxes associated with the flowback of excess accumulated deferred income taxes. Moving on to Slide 11, I wanted to provide an outlook of our anticipated regulatory agenda. We continue to be busy with customary filings such as capital tracking mechanisms, but in addition, we expect to file base rate cases for our Northern Utilities main division in our Fitchburg Gas & Electric divisions. We look forward to providing additional details as this rate case activity gets underway. Turning to Slide 12; we've refreshed our projected five-year investment plan, which totals approximately $820 million. Those investments will ensure the continued safety and reliability of our existing distribution system, allow for system growth, advance our strategic modernization initiatives and further enhance the customer experience. There remains upside potential for additional electric vehicle infrastructure, grid modernization and supply-side projects such as utility-owned solar facility. Those aside, our anticipated long-run annual rate base growth remains in the rate of 6.5% to 8.5%. In 2023, we expect to invest just over $140 million with our investment mix increasingly balanced between gas and electric operations throughout the forecast period. Slide 13 provides our long-term financing plan. We continue to expect the majority of funding roughly two thirds to be derived from cash flow from operations less dividends. The remainder will be funded through a combination of debt and equity to ensure a properly balanced capital structure. Our balance sheet is strong and as Tom mentioned at the beginning of this call, we upsized our credit facility by 67% to ensure adequate liquidity.  Turning now to Slide 14; I'd like to briefly touch on our solid financial profile. Both Moody's and S&P consider our strong investment-grade ratings to be stable with strong cash flows, a balanced capital structure, timely capital cost recovery and revenue decoupling supporting those ratings. As Tom mentioned, S&P's most recent report rates our business risk as excellent and lowered the FFO to debt downgrade threshold from 16% to 13%. We expect to remain well above that threshold throughout the forecast period. On a relative basis, our ratio of cash flow from operations less working capital to total debt now exceeds our peer group median.  Lastly, I would like to draw attention to our debt maturity schedule, which has relatively light refinancing needs over the coming years. As a reminder, we have no variable rate long-term debt. On balance, we are confident we will be able to main our attractive credit profile. Moving on to Slide 15, we've provided a somewhat different format to our prior presentations, illustrating our long-term earnings per share growth guidance. As we've mentioned, we continue to see long-term EPS growth in the range of 5% to 7%. We expect 2023 earnings relative to 2022 to be well within that range. It may be worth highlighting that with decoupled rates now in place, we have additional margin stability and visibility. Please note that because decoupled rate structures are based on monthly revenue targets, a significant amount of revenue continues to be generated during the heating months. We've illustrated this on the quarterly EPS distribution chart on this slide. Lastly, despite relatively high inflation, we expect 2023 operating and maintenance expense to be fairly consistent with 2022, reflecting our continuing operating and financial discipline.  Next, on Slide 16, we are pleased that for the second consecutive year, our Board of Directors accelerated our dividend increase bringing the dividend to $1.62 on an annualized basis. This increase of $0.06 per share reflects the confidence we have in our ability to execute our strategic plan and keeps us squarely at the midpoint of our target payout ratio range. Staying within our target range, our dividend growth should approximate our earnings growth over the long term. We will evaluate further dividend acceleration relative to our target payout range in future years. And with that, I will turn it back over to Tom.
Tom Meissner: Great. Thank you, Bob. Ending now on Slide 17, having wrapped-up fiscal year 2022, we are pleased with the progress the company has made, the opportunities ahead and our continued ability to navigate through challenging times. We delivered strong financial performance, industry-leading service and are better positioned and more resilient than ever before. We continue to execute on our strategic plan, and we look forward to contributing to the transformative changes taking shape in our industry. The company's prospects are strong, and we believe our plan will lead to exceptional value for all stakeholders. So with that, I'll turn it back to Todd.
Todd Diggins: Thanks, Tom. That wraps up the material in this call. Thank you for attending. I will now turn the call to the operator who will coordinate questions.
Operator: And our next question will come from James Adam. [Operator Instructions] And I'm showing no questions.
Operator: This will conclude today's conference. Thank you for participating. You may now disconnect.